Emily Mohr: Good morning, and thank you everyone for participating in Chimera's Fourth Quarter and Year-End 2017 Earnings Conference Call. Before we begin, I'd like to review the Safe Harbor statements. During this call, we will be making forward-looking statements, which are predictions, projections, or other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties, which are outlined in the Risk Factor section in our most recent annual and quarterly SEC filings. Actual events and results may differ materially from these forward-looking statements. We encourage you to read the forward-looking statement disclaimer in our earnings release in addition to our quarterly and annual filings. During the call today, we may also discuss non-GAAP financial measures. Please refer to our SEC filings and earnings supplement for reconciliation to the most comparable GAAP measures. Additionally, the content of this conference call may contain time-sensitive information that is accurate only as of the date of this earnings call. We do not undertake and specifically disclaim any obligation to update or revise this information. I will now turn the conference over to our President and Chief Executive Officer, Matthew Lambiase. Please go ahead.
Matthew Lambiase: Good morning, and welcome to Chimera Investment Corporation's fourth quarter 2017 earnings call. Joining me on the call this morning are Mohit Marria, our Chief Investment Officer; Bob Colligan, our Chief Financial Officer; Choudhary Yarlagadda, our Chief Operating Officer; and Victor Falvo, Chimera's Head of Capital Markets. I will make some brief comments, and afterwards Mohit will review the changes in our portfolio, and Rob will discuss the financial results for the period. Then we will open the call for questions. Chimera recorded a strong 18.8% economic return for the full calendar year of 2017. The company paid $2 in dividends, and had $0.98 increase in book value over the period. Since the beginning of our risk retention strategy in 2016, where we focused on low loan balance season mortgages, Chimera has generated an economic return of 5% in six of the last eight quarters. This performance demonstrates the continued income generation capability of our investment portfolio and the bond markets increased appreciation for the mortgage assets that we have acquired. The recovering housing market and the improving domestic economy has created a positive tailwind for the company's return over the course of the year. The U.S. economy has finally started to show signs of expansion after several years of dormancy. We've seen higher GDP growth and lower unemployment rates which are very positive data points for the housing market. As we've stated on previous earnings calls, it's been our opinion that the U.S. housing market is recovering at a brisk pace, and we believe that our portfolio is well positioned to continue to benefit from these improving conditions. As of year-end, 82% of Chimera's capital was allocated to mortgage credit. In October, the Case-Shiller Home Price Index was up 6.2% year-over-year, and U.S. homebuilder confidence jumped in December to the highest level since 1999. Additionally, in November, new home sales reached the highest level since before the great recession, and the inventory of single-family homes available for sale showed significant declines with starter homes section of the market having the most supply constraint. Low housing inventory occurring at a time when more people are working and the economy is growing should bode well for future home price appreciation. This is important because home price appreciation is a key valuation factor in pricing residential mortgage credit. Chimera has a unique portfolio of $13 billion of seasoned loans with an average mortgage balance of $90,000. The tight housing inventory, especially in the starter home section of the market will likely be beneficial to the credit metrics of our low loan balance mortgage portfolio. Increasing home value should translate into lower loss expectations and potentially higher prices in the future, affirming our belief that residential mortgage credit offers some of the best risk-adjusted returns available in the entire fixed income market. The green shoots of our economy have afforded the Federal Reserve the ability to increase short-term interest rates and to start to decrease their balance sheet. While we expect 2018 to be a challenging market for fixed income assets, we feel confident in our portfolio's ability to continue to produce a strong dividend for our investors. Last night, we announced a $0.50 per common share dividend for the first quarter, and affirmed our expectation for $0.50 dividends per quarter for the remainder of 2018. We believe that $2.00 per share or a 12% return generated from our portfolio is an enviable rate of return in this volatile market, especially when you consider the improving housing fundamentals. It's unfortunate that the market has sent Chimera's stock price lower in the last month, but we're hopeful, when the dust settles that investors will once again recognize the earnings power of our portfolio. Considering the market's recent turbulence it's important for investors to remember that harvesting real returns from quarterly dividends has been a winning strategy over the longer term. And we're confident that Chimera is well positioned to continue to produce strong dividends, and to be the engine of real return for our shareholders in the quarters ahead. And with that, I'll turn it over to Mohit to discuss the changes in our portfolio for the fourth quarter.
Mohit Marria: Thank you, Matt. Q4 started and ended like prior quarters of 2017, with tighter credit spreads and higher equity markets. The yield curve continued to flatten as the Federal Reserve raised short interest rates, as expected, by 25 basis points in December, and a total of 75 basis points for 2017. The yield curve flattened by 33 basis points for the quarter, and 73 basis points for the year. As Matt stated, the economy is expanding as measured by GDP, and the housing market is performing very well. These economic developments are very positive for mortgage credit. Our portfolio has benefited with lower defaults on the year and lower credit losses relative to our purchase expectations. While 2018 has started with 10-year yields increasing about 40 basis points over inflation concerns, there was little reason to anticipate a significant further spike in rates, like those experienced post the 2016 election, when 10-year yields increased by over 85 basis points. This quarter, Chimera called four outstanding securitizations, Springleaf 13-2, Springleaf 13-3, CSMC 2014-CIM1, and CIM 2016-5. These deals were refinanced and re-levered into CIM 2018–8 resulting in a savings of over 100 basis points. We effectively reduced our weighted average cost of financing from 4% on the four call deals to 3% cost of financing on CIM 2017-8. Overall, 2017 was a very good year for our portfolio. And for the full year, Chimera acquired 6.5 billion in seasoned low loan balance performing loans. We completed six securitizations of newly acquired loans. We completed our first rated securitization with newly acquired loans. With the completion of CIM 2017–8, our eight securitization for the year, we have now successfully refinanced and re-levered all of the Springleaf deals acquired in 2014 validating our proof of concept. Total portfolio loan securitization for 2017 was 6.9 billion, up from 5.8 billion in 2016. And lastly, we increased our agency CMBS portfolio by 563 million, bringing the total agency CMBS portfolio to 1.9 billon, which is now 46% of the agency portfolio; up from 34% at the end of 2016. As we look forward to 2018, the portfolio is well-positioned. Our agency portfolio is evenly distributed between residential agency pass throughs and agency CMBS. Our securitization portfolio continues to pay down at a low and manageable rate level while generating above market returns on per cost basis. Our seasoned low loan balance performing loan strategy is performing better than our purchase expectations, and it continues to benefit from improved economic and housing data. Prepayments on our high yielding mortgage credit portfolio remained moderate. And we have four mortgage credit deals outstanding with a total unpaid principal balance of 1.3 billion which are callable in 2018 subject to market conditions. In closing, healthy home price appreciation and strong employment are supportive for our credit strategies. In addition, there could be a tremendous opportunity to add RMBS investments as the Federal Reserve continues its tapering. We believe that we can generate strong earnings while maintaining book value stability through a variety of interest rate environments. With that, I will turn the call over to Rob.
Bob Colligan: Thanks, Mohit. I'll review financial highlights for the fourth quarter and full-year 2017. GAAP book value at the end of the fourth quarter was $16.85 per share. And our economic return on GAAP book value was 2.6% based on the quarterly change in book value in the fourth quarter dividend per common share. Our economic return for the year was 18.8%. GAAP net income for the fourth quarter was 98 million compared to 130 million last quarter. For the year, GAAP net income was 491 million compared to 549 million last year. On a core basis, net income for the fourth quarter was 116 million or $0.62 per share, in line with last quarter. Securitization deal expenses were 5 million in the fourth quarter compared to 3 million incurred in the third quarter. For the year, core net income was 440 million compared to 455 million last year. Net interest income for the fourth quarter was 158 million, up from 156 million last quarter. Increase in net interest income relates primarily to the Chimera's loan portfolio, partially offset by higher financing costs. For the year, net interest income was 606 million, up from 586 million last year. For the fourth quarter, the yield on average interest earning assets was 6.3%. Our average cost to funds was 3.6% and our net interest spread was 2.7%. Total leverage for the fourth quarter was 4.6 to 1, while recourse leverage ended the quarter at 2 to 1. Our net interest return on equity was 16.9% consistent with last quarter, and our return on average equity was 12% for the quarter compared to 15% last quarter as the investment portfolio experienced some mark-to-market losses during the fourth quarter. Expenses for the fourth quarter, excluding servicing fees and deal expenses were 12 million in line with the third quarter. I do expect expenses in 2018 to grow by approximately 1 million per quarter related to stock-based compensation. That concludes our remarks, and we will now open the call for questions.
Operator: [Operator Instructions] Our first question will come from the line of Bose George, KBW.
Bose George: The first question is just on the cost of funds. I mean I guess a good job keeping that stable. When you look out into 2018, can you talk about where that could trend if the Fed raises rates a few times, you know that you've got securitizations you can call, so I guess that's the offset there. But can you just kind of walk through the different ways that could play out.
Mohit Marria: Good morning, George, this is Mohit. So as far as the cost of funds go -- as you mentioned, in 2017, we had three Fed hikes, and our cost of funds did go up in the portfolios Rob alluded to in his opening commentary. As we look forward to 2018, there are two potentially three rate hikes baked in to the markets. And cost of funds typically reflect that already, as we sort of look at how far we want to take out the financing. It's more prevalent on the agency side because some of our non-agency stuff is term financed, and anything we have on recourse is also longer dated. I mean, we have six-month, 12-month, in some cases three-year trades on. I think it'll be less impactful there. And as you mentioned, we have the ability to call four deals and as those deals come up for calls subject to market conditions, we have the ability to, again, term finance everything based on economics at that point in time.
Bose George: Okay, great. Thanks. And then just in terms of pipeline for acquisitions, can talk about how you're seeing things out there right now?
Mohit Marria: Yes, even -- the year has started with obviously a lot of interest rate volatility; the 10-year is sold off over 40 basis points since the start of the year. And high yield and corporate spreads have lined out a little bit. But on the resi side stuff has held in pretty well. And as a result of that the prices that are attainable currently don't look as attractive from a risk-adjusted return profile for us. So we're going to be cautious deploying capital. But there are a lot of opportunities to invest capital to the extent we think it makes sense. There's been several large pools that have come up for the bid in the first several months, and each one is trading tighter than the prior one, so I think it'll be interesting to see once the dust settles what the clearing levels are for incremental assets, but it'll be a challenging environment.
Matthew Lambiase: Yes, Bose, this is Matt, I'd just like to add to that saying that we are very aggressive investors when we like things in the marketplace and we see good opportunity. And I think for us, and when we sit around and we look at this market we see interest rates backing up, the fed is in play, and credit spreads are pretty tight at the moment. And I think that flashes caution for us. And I think when we're looking forward in this market I think we're very happy with the portfolio and the position, and we feel pretty confident, as you can see from our announcement last night, that we can produce a very high real return for our shareholders over the course of the year. But I would say that we're not looking to be super aggressive in this market. I think we're pretty cautious right now. And I think that being in a lower levered position, and having some firepower as things do cheapen up we can jump on them. But I think right now, I think it's prudent to be cautious.
Bose George: Okay, great. Thanks. Actually just one more for me, just book value since quarter end, has there been much of a change.
Mohit Marria: No, I mean, as I mentioned, even with the softened rates we expect book value to be down less than 1% if it was to end today, but again, we thought two months before the quarter end is completed. But I think it'll be a muted impact on book value, as we saw in Q4.
Bose George: Great. Thanks.
Operator: Our next question will come from the line of Sam Choe, Credit Suisse.
Sam Choe: You guys actually kind of answered it on Bose's question, but I guess when we are thinking about leverage, you said you guys are going to be strategic. So is it safe to assume that the leverage level is going to be pretty consistent with 2017?
Mohit Marria: Correct. I think as Matt and I mentioned on the prior question, we're going to be prudent in sort of finding investment opportunity that are accretive. So I don't see an uptick in leverage in a meaningful way in 2018.
Sam Choe: Got it.
Matthew Lambiase: We don't -- and I, just to follow-up on that, we don't need to increase leverage to meet our dividend pay rate. And I don't think in this market it's wise to take up leverage and chase after earnings when the spreads are tight and the market is really flashing caution.
Sam Choe: Okay, yes. That's it for me. Thank you.
Matthew Lambiase: Thank you.
Operator: Our next question will come from the line of Trevor Cranston, JMP Securities.
Trevor Cranston: Thanks, good morning. Most of my questions have been asked. But one more on the agency portfolio, obviously there's been a decent amount of rate volatility so far in 2018. Can you guys just comment on how that impacts your thinking on the composition of the agency portfolio. And if you think there may be sort of a sustained period of higher rate volatility, if that would impact your thinking on how you'd manage the agency book? Thanks.
Mohit Marria: Good morning, Trevor. We've said this over the last several earnings calls. Starting 2014 we had started adding agency CMBS to the portfolio given the backdrop of what the Fed may do in terms of interest rates as well as tapering. And in my opening remarks I mentioned our agency CMBS portfolio is now 50% of our agency capital allocation. And the agency CMBS portfolio exhibits better convexity profile and locked in a NIM more closely to match future dividend earnings power as opposed to the agency pass-through portfolio. And given the rate [back out] [ph] that we've had since the start of the year and our expectations of another two to three hikes this year, coupled with some mortgage spread widening, I think we're well positioned to be able to sustain the market volatility within that, and why our book value will have minimal impacts in 2018.
Matthew Lambiase: Yes, and I would just add to that. As we see the agency residential mortgage-backed securities pay down, we've been taking those paydowns and trying to add them to the agency CMBS. So we like the -- we take the paydowns from the residential pass-throughs and we try to, when they're available, we like to buy Ginnie Mae project loans, and because of the favorable prepayment characteristics on that. And that's an ongoing -- and you've seen that over the last couple of years. You've seen the agency, the Ginnie Mae project loans and that type of paper increase in our portfolio, and while the residential mortgage-backed securities have been getting smaller.
Trevor Cranston: Got it. Okay, thank you.
Operator: Our next question will come from the line of Jim DeLisle, Wasatch Advisors [ph]
Unidentified Analyst: Good morning, gentlemen.
Matthew Lambiase: Hello.
Mohit Marria: Good morning.
Unidentified Analyst: You guys, you mentioned the stock price a little bit earlier, Matt. You guys were very restrained when you were trading at big premium to book, and by some measures there were sometimes, well, in the last few weeks that you guys were possibly trading below. You also have a model that -- I heard a yes on that? Did I, I thought I heard an utterance on that one. Anyway, you guys have kind of a unique model where based on your pay-down speeds and things like that, that you can actually do a share buyback without simultaneously you significantly increasing your leverage. Do you have a share buyback that's been authorized by your Board? Would you consider one in case we have further dislocations?
Matthew Lambiase: Thank you, Jim, for the question. Matter of fact, the Board of Directors reauthorized a $100 million share repurchase program recently. And frankly, it's my intention to utilize that authorization depending on the market, the prices, the market conditions going forward.
Unidentified Analyst: All right. And if you were to -- when you are, if it's a down sort of market, obviously, to use that buyback, would it be just relative to book or also relative to your competitors where they're trading at the time.
Matthew Lambiase: I really don't want to give too much clarity on -- and trade against myself or give anybody any information on what we may or may not do. I think it'd be better to talk about what we actually do at the end of next period.
Unidentified Analyst: Thanks guys.
Matthew Lambiase: Thank you.
Operator: Our next question will come from the line of Lee Cooperman, Omega Advisors.
Lee Cooperman: Yes, I think my questions have been asked, but what amount of unemployed capital do we have where you could earn a spread on, but not earning a spread now?
Mohit Marria: Lee, this is Mohit. I mean we have a box position that we maintain just in case of some market disruptions. We don't keep too much cash run. Most of our assets are going to be in the form of agency pass-throughs, which we view as cash surrogates, but having cash -- ample cash on hand is going to be dilutive to earnings powers. So, we don't typically keep too much around. But, all our assets are earning some spread to answer your question.
Lee Cooperman: Got you. Okay. I think we have a call later, so I won't ask any questions. I will leave it to other people.
Mohit Marria: Feel free to ask questions. It's an open forum.
Lee Cooperman: Okay, fine. So I guess that's really been asked when you see towards trade against yourself, the reality is you are trading to shareholders, so ought to really feel more comfortable in telling everybody what your kind of modus operandi is, because my question is the priority for use of the cash flow, do you want to invest it in the business, do you want to boost your dividend, do you want to buy back stock, how would you list the priorities?
Bob Colligan: Hey, Lee. This is Rob. Why don't I just add we did buy back a meaningful amount of shares in 2015 when we were trading below book, and I think when we went to raise capital in the preferred markets, the markets were very healthy and open for us. And so to the extent that we trade below book, I think we would be active buyers of that -- of the stock below -- whenever it trades below book value. And if we need more capital, we see opportunities. There are dislocations. I think the capital markets have been good to us. We have opportunities to raise capital in preferred markets, convertible markets. And we want to make sure that we are building a good capital stock that's efficient and well-positioned for the company.
Mohit Marria: To be clear with all that is that we do believe and in the past we have bought the shares below book value. And I think right now in the marketplace and seeing what I see in the landscape in front me for investible assets and mortgage credit, I think buying back the shares is the best option for the capital at the moment especially when its below book value.
Lee Cooperman: Let me be clear. I think you guys have done a fabulous job for the shareholders and I am very pleased. I am just trying to understand the priorities internally, but you guys have done excellent job and you ought to be congratulated in what you have done for the shareholders. Just two other questions; my theme is we are heading towards normalization. We still live in an abnormal world when you look at the fact that $11 trillion sovereign debt with negative interest rate and people get paid in Denmark to live in a home, it's crazy. But if we are on the path to normalization, obviously as rates rise, book value will be negatively impacted, but your reinvestment rate will improve. Net-net if we have fourth Fed moves this year, you feel comfortable that we are in good shape?
Mohit Marria: Yes. I think our portfolio - listen, the book value went up last year when we saw rates rise and we saw the Fed in play a little bit last year as well. So, I think mortgage credit is in a very good spot. We own a lot of it at the moment. And I don't see it really weakening on a technical basis in the near future. Who knows what happens farther out, but I think we are in very good spot for the credit pricing. So what happens in interest rates is truly anyone's guess here. But, I think we have stated that we are going to be really conservative here at the moment. We don't think it's a smart market to lever up into. And we look at -- and our role is to make the dividend as the number one priority. But number two priority is the make sure we don't lose book value. So they go hand in hand. And I think when I -- we model out of our portfolio and think about our earnings, we can be pretty conservative in our investment outlook and still produce a 12% return. I think that's a great place to be in this marketplace.
Lee Cooperman: Very good. Well, you have done an excellent job. And I am more than happy that you call the shot. Thank you.
Mohit Marria: Okay, thank you, Lee.
Operator: Thank you. I will now turn today's conference back over to Matthew Lambiase for closing comments.
Matthew Lambiase: Well, thank you all for joining us on the fourth quarter 2017 Chimera Investment Corp earnings call. We appreciate you participating in our call this morning, and give all the recent volatility in the markets. We appreciate you as you shareholders. And we look forward to speaking to you in May. Thank you.
Operator: Once again, we would like to thank you for participating on today's conference all. You may now disconnect.